Operator: Good day, everyone, and welcome to JBT Marel's Earnings Conference Call for the Third Quarter of 2025. My name is Jim, and I will be your conference operator today. And as a reminder, today's call is being recorded. [Operator Instructions] It is now my pleasure to turn the call over to JBT Marel's, Senior Director of Investor Relations, Marlee Spangler, to begin today's conference.
Marlee Spangler: Thank you, Jim. Good morning, everyone, and thank you for joining our third quarter conference call. With me on the call is our Chief Executive Officer, Brian Deck; President, Arni Sigurdsson; and Chief Financial Officer, Matt Meister. In today's call, we will use forward-looking statements that are subject to the safe harbor language in yesterday's press release and 8-K filing. JBT Marel's periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available in the IR section of our website. Also, our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found in the IR section of our website. With that, I will turn the call over to Brian.
Brian Deck: Thanks, Marlee, and good morning. As you saw in our earnings release, we significantly exceeded our expectations for revenue and earnings in the third quarter of 2025. Primary drivers of our outperformance were excellent manufacturing and supply chain productivity, which enabled higher backlog to revenue conversion, a favorable equipment mix and an acceleration of synergy savings. In light of our strong third quarter performance, we have raised our guidance for full year 2025. At the same time, demand remained healthy with combined JBT Marel orders of $946 million, an increase of 7% from the prior year period. In particular, we experienced continued equipment investment from the poultry industry, our largest end market, and our pipeline for poultry-related projects is expected to provide support well into next year. Beyond poultry, orders from pet food and pharma were robust in the quarter. In the ultimate display of the benefits of diversification, we took 2 large orders in support of a major pharmaceutical firm's investments in GLP-1 production capacity. Geographically speaking, demand was strong in North America. While Europe and Asia were softer sequentially, we enjoyed a good quarter in Latin America with some large pet food, poultry and juice orders. We ended the quarter with a backlog of $1.3 billion. That, coupled with our resilient recurring revenue, provides visibility for the remainder of the year and support as we enter 2026. Additionally, as Matt will discuss, we made further progress on deleveraging our balance sheet. And as Arni will highlight, the integration of JBT and Marel's remains on track as we take actions to capture synergy savings and enhance our value proposition to customers. I will come back at the end and talk about a few ongoing initiatives that will make JBT Marel an even stronger partner to our customers over the long-term. Let me turn the call over to Matt to discuss our third quarter performance and revised outlook for the year.
Matthew Meister: Thanks, Brian. For the third quarter of 2025, total revenue was approximately $1 billion, an increase of 7% sequentially. We exceeded our revenue expectations by approximately $65 million as we benefited from excellent manufacturing and supply chain productivity, which allowed us to convert approximately $45 million more backlog to revenue than originally expected. Additionally, we had about $20 million in higher book and ship revenue in the quarter compared to our expectations. Revenue in the quarter included approximately $26 million in favorable year-over-year foreign exchange translation impact, which was in line with expectations. Our third quarter adjusted EBITDA margin of 17.1% exceeded our expectations by about 140 basis points. Beyond volume flow-through, margins were better than we forecasted due to favorable mix of poultry equipment and shorter-cycle products, coupled with better-than-expected synergy savings. For the quarter, we realized year-over-year synergy savings of $14 million. Third quarter GAAP EPS was $1.28, and adjusted EPS was $1.94. Adjusted EPS excludes certain onetime items and acquisition-related costs, which were outlined in yesterday's press release and investor presentation. As it relates to the tariffs, based on what is currently understood, we still believe in the quarterly impact of JBT Marel's material costs. Before any mitigation efforts would be in the range of $22 million to $25 million. Because of our cost mitigation efforts, the net tariff impact before any pricing actions was approximately $15 million in the quarter, slightly less than anticipated. We expect the net cost impact before pricing actions to increase to about $20 million in the fourth quarter, with the increase primarily due to recently enacted additions to Section 232 tariffs. In the immediate term -- in the intermediate term, we will look to increase the utilization of our domestic facilities for production and assembly and further localize JBT Marel's supply chain. In terms of the additional proposed Section 232 tariffs related to the import of robotics and industrial equipment under consideration. As we currently understand the scope, we do not include equipment associated with food production. Therefore, while we may see some modest component cost increases, we do not expect a material impact on JBT Marel. As we progress further into the integration of JBT and Marel and are successfully operating as one combined entity, the allocation of revenue and expenses between the legacy companies is becoming less meaningful. As such, during the fourth quarter of 2025, we plan to introduce our new segment reporting, which reflects the way we will operate the business. The new segments will be Protein Solutions and Prepared Food and Beverage Solutions. Protein Solutions will include the JBT Marel businesses that focus on initial stages of processing and harvesting of animal proteins. The Prepared Food and Beverage Solutions segment predominantly focuses on the downstream value-added preparation, preservation and packaging of foods and beverages into ready-to-eat or drink products. In order to provide comparability, we will recast historical annual results for 2023 and 2024, and quarterly results for 2025. We plan to make those historical financials available prior to the release of our fourth quarter and full year earnings. In terms of our third quarter segment results, JBT segment revenue of $465 million increased approximately 2%, both year-over-year and sequentially. JBT segment adjusted EBITDA of $71 million decreased 13%, both year-over-year and sequentially, with an adjusted EBITDA margin of 15.3%. The decrease in margins is the result of unfavorable mix of equipment, one-off project variances and a higher share of corporate-related costs carried in the JBT segment. Marel segment revenue in the third quarter was $537 million, an increase of 12%, sequentially. Marel segment adjusted EBITDA was $100 million, representing a margin of 18.6%. Marel's strong profitability in the quarter was a result of favorable mix from higher-margin poultry equipment, integration synergies and volume leverage as well as continued improvement in the fish and meat businesses. Through the first 9 months of 2025, we generated operating cash flow of $224 million and free cash flow of $163 million. For the third quarter, we achieved record quarterly operating cash flow of $88 million for the combined company. We continue to make significant progress on deleveraging our balance sheet. From an initial leverage ratio of 4x at the close of the combination. At the end of the third quarter, our financial leverage decreased to 3.1x. And by year-end, we expect that our leverage will be below 3x. Previously announced in the quarter, we completed the issuance of $575 million of senior convertible notes with a coupon of [ 37.5 ] basis points due in 2030. The notes enable us to prefund the upcoming May 2026 convertible notes maturity at a lower interest expense relative to high-yield debt. And with the call spread, we have effectively mitigated shareholder dilution until the share price reaches approximately $283. As Brian mentioned, we have increased our guidance for full year 2025 to reflect the strength of our third quarter results. We are expecting revenue between $3.76 billion to $3.79 billion, including approximately $70 million to $85 million in favorable year-over-year foreign exchange translation effect. We are forecasting full year adjusted EBITDA margin to be 15.75% to 16% and adjusted EPS of $6.10 to $6.40. For full year 2025, we now anticipate in-year synergy savings of $40 million to $45 million, slightly above our previous target and run rate savings of $80 million to $90 million as we exit the year. We remain on track to achieve annual run rate savings of $150 million within 3 years of the combination. Let me now turn the call over to Arni, who will discuss the progress and specific benefits we are realizing as a result of the business combination and integration.
Arni Sigurdsson: Thanks, Matt. It is clear that our results demonstrate the benefits of JBT models complementary solutions, diverse end market participation, increased scale and continuous improvement efforts. As Matt said, we have increased our estimates for in-year realized synergy savings, a testament to the disciplined execution of our integration plan and the dedication of our team. For example, on the supply chain side, we are actively realizing synergies by rightsizing our supplier base and optimizing our procurement strategies as JBT model. That is with the goal of improving terms, quality, delivery and pricing. We recently renegotiated our air and ocean freight contracts, reducing the number of suppliers from more than 150 to 5. Given these efforts, we expect to capture more than $5 million in annualized cost savings, a very meaningful number. Following the implementation of our new organization in the second quarter, we have also continued to capture operating expense savings. This includes consolidating contracts, the sales and service office footprint and third-party spend across our finance, legal and IT departments. During the quarter, we inaugurated a new global production center in Pune, India, with a full new JBT model branding. The location positions India as key expert hub and brings JBT Marel's application expertise to the broader Asia Pacific region. Our global scale provides the flexibility to produce products in the region where our customers are located, adding optionality as tariffs continue to evolve. We now have dedicated low-cost manufacturing platforms in Asia, Latin America and Eastern Europe to support in-region profitable growth. As we outlined in our last call together, JBT and Marel are an even more valuable partner to our customers. We achieved that with our customer-centric approach, which features account managers representing the entire portfolio, our expanded service network and full-line solutions and process know-how across the value chain. We can simplify the buying process, installation and service for our customers and provide a one accountable vendor. In our conversations with customers at trade shows and on specific projects, it is clear that they recognize the value of our expanded capabilities. A good example is a recently secured hamburger line order, which includes meat preparation, forming, weighing, lean measurement, freezing and software from the JBT and model portfolio. Sustainability also remains top of mind for the food and beverage industry. At JBT Marel, sustainability is embedded in who we are as an organization. During the third quarter, we published JBT Marel's first joint sustainability report. In it, we discussed how we deliver sustainable and efficient outcomes for our customers through application expertise and leading technology. And that focuses on minimizing food and package waste, lowering energy and water usage and improving food traceability and safety. I am proud of JBT Marel's role in advancing sustainability as we transform the future of food. With that, let me turn the call back to Brian.
Brian Deck: As you heard from Arni's remarks, we are making excellent progress on the integration and have delivered quantifiable benefits in terms of supply chain and operating expense savings. And there is more to come as we enhance our holistic solution offerings with an emphasis on service and digital capabilities. For example, as we have discussed over the past several years, our software and digital platform further enhance JBT Marel's value proposition, providing control and connectivity that improved performance across the system and optimizes machine yield, throughput and uptime for our customers. Similar to our equipment portfolios, JBT and Marel's digital ecosystems are complementary. We have now combined our digital teams and have aligned our technology infrastructure platform. We continue to work on how to integrate the customer software interface, feature content as well as the development of the intermediate-term technology roadmap. Our goal is to provide a path forward that offers the best technology specifically designed for the needs of the food and beverage industry without disruption to our customers. We are also engaged in the process of integrating our service resources and capabilities. And in addition to leveraging our expanded reach, core to our strategy is continually enhancing the quality of our service offering and as such, are instituting a rigorous customer-facing performance measurement system. We recognize that essential part of the JBT Marel value proposition is the reliability, responsiveness and quality of our service and parts offering and strive to provide customers with best-in-class performance. This development of our software solutions and the performance of our service and parts franchise go hand-in-hand as we further our integrated value proposition with our customers. As we approach the end of our first full year as JBT Marel, I believe our commercial success and financial performance have reinforced our conviction that we are better together. Our complementary portfolio of solutions, enhanced service capabilities and global footprint are making us an even more valuable partner to our customers. Internally, we have continued to optimize our operating efficiency and productivity. And our strong cash flow has enabled us to quickly delever our balance sheet and provides the liquidity to support our growth strategy. My heartfelt thank you to our teams around the globe who have enabled JBT Marel to bring greater value as we transform the future of food. Now let's open the call to questions. Operator?
Operator: [Operator Instructions] We'll take our first question today from the line of Mig Dobre at Baird.
Joseph Grabowski: Joe Grabowski on for Mig this morning. So I wanted to start with the Marel EBITDA margin in the quarter, really impressive, actually 330 basis points over the core JBT EBITDA margin. And even if we back out all of the $14 million in synergies from Marel, it's still above core JBT. I know you mentioned in the prepared remarks, favorable mix and some improvement in meat and fish, but maybe drill down a little further as to what's driving that EBITDA margins much higher than where they were pre-acquisition.
Brian Deck: Sure. Yes, we're really, really proud of the performance of the legacy Marel business in the third quarter. Specifically, as we mentioned, we got a lot of volume through the system in the quarter, and you get a lot of operating leverage out of that. That was, first and foremost, the benefit that we saw. And moreover, the higher share synergies, as you mentioned, the reduction of the corporate overhead has benefited the Marel segment and meat, and fish just continued to improve. And just further to the topic, one of the things we've talked about over the years -- over the last 2 years as we've considered this opportunity is the strength of the Marel technology. And that really starts to come through as you build your volume and get -- and as the market improves. So that's really just starting to come through really strongly in the quarter. So there was a lot of opportunity with the Marel margins, and we just saw that really good execution on both the commercial side and on the factory side.
Joseph Grabowski: Got it. Okay. Great. That's very helpful. And then my second question, I guess, you raised your full year EBITDA guidance at the midpoint by $20 million. It seems like Q3 maybe came in at least $20 million above where you were expecting. So maybe talk about some of the moving pieces in 4Q, you had some additional revenue out of backlog in Q3. Did that -- is that going to impact Q4, tariffs, synergies, just kind of moving pieces for 4Q versus your expectations 90 days ago?
Brian Deck: Sure. I'll talk a little bit about the commercial side and have Matt talk about the cost side. So we do expect lower revenue in the fourth quarter relative to the third quarter. So some of the cadence and the flow-through of that operating leverage and the profits on that lesser revenue flows through. The primary reason for that is we did have a bit of a pickup in the third quarter just as it relates to -- as I mentioned, some productivity and supply chain improvements. So there were some things in, I'll say, in our backlog that were stuck on the port because of some of the issues with tariffs and whatnot. We cleared a lot of that up. So that allowed us to get a little bit extra volume in the third quarter that we don't expect in the fourth quarter. And on the cost side?
Matthew Meister: Yes. I think on the cost side; we do expect to see a bit of a ramp on the tariff expense impacting margins in Q4 with additional 232 tariffs that should have an unfavorable impact on margins sequentially. In addition to that, as Brian said, we did see some supply chain benefits that impacted Q3. We don't expect that to recur in Q4. So there's a little bit of sort of a onetime impact from those supply chain benefits that doesn't recur sequentially in Q4.
Brian Deck: And then just lastly, as we think about 2026 and thinking about our growth trajectory for there, we will make a little bit of investments in preparation and in commensurate with that expected growth.
Joseph Grabowski: Got it. Okay. And if I could maybe just sneak in one more. If you could talk about just how automation is trending through the business as we progress through the year?
Brian Deck: Yes. Automation remains a key theme for us, particularly on the proteins side as we see pressures on the labor environment for the food factories, the area that we see the biggest opportunity and seeing a good -- we saw a good amount of orders in the third quarter and expect that trend to continue in the fourth quarter is what we would call the secondary side. So that is where you typically would see slicing and dicing and removing meat from the bone, so to speak. That is the biggest opportunity clearly on the protein side. We see similar challenges of labor availability on cutting up things like fruits and vegetables, anywhere where there's humans involved in things that are typically well suited for dexterity and precision. But as the technology continues to evolve and with the combination of our portfolios together, we have a great offering on that secondary space. So that does continue to play out as we had hoped.
Operator: Next question today comes from the line of Ross Sparenblek at William Blair.
Ross Sparenblek: Maybe just starting with the order book. Can you give us a sense of any cross-selling orders to call out and maybe help us size that as we think about the revenue synergy capture?
Arni Sigurdsson: Yes. I mean -- this is Arni here. I mean what I would say is we continue to see improvement in our pipeline on the cross-selling opportunities. And we feel kind of very, very good where we are. I mean I did highlight one particular order in the prepared remarks, for example, where we had a hamburger line. And what kind of -- as we look to some of the pipeline and the opportunities that we have there, we're very pleased with the mix that we're seeing. We're seeing kind of all the way from kind of current JBT customer, not a Marel customer, we're selling there and having opportunities there, vice versa. And kind of the main themes that I would kind of maybe give you a little bit of color on kind of the freezers are being bundled a lot into some of the convenience lines that we have. And then we also see a lot of like the fryers with the [ mass ] oven kind of on the Marel side. So I would just say, overall, we're pretty pleased with where we are considering the pipeline.
Ross Sparenblek: Okay. So I mean do you get the sense -- I mean, it sounds like it's expanded in scope here just outside of the obvious moats around the poultry side?
Arni Sigurdsson: Yes. I would say it is general. I would not say it's kind of very different from expectation. We do -- we've obviously been quite focused on the poultry side just due to kind of the strength of that market and also kind of our position in that market. So for example, we're seeing kind of the combination of the DSI water cutter and the SensorX bone detector, that's a very good combination. But we're also seeing it kind of more broader. And then we see kind of some things that we didn't expect. We've sold kind of some FTNON equipment into the fish industry and so on. And these happen as well, kind of something you don't plan for. But overall, I would say it's broadly in line with expectation, but we're very pleased with how we're kind of consistently building up a stronger pipeline.
Brian Deck: And just to add to that a little bit, as we mentioned in previous quarters that as we move to this account management model, which allows our sales force to sell the entire portfolio, over the last 2 quarters, there's been a tremendous amount of discovery of the legacy Marel salesmen, understanding the depth and the breadth of the JBT portfolio and vice versa. So as that discovery occurs and you start to experiment and realize that there's application that we can apply that we hadn't even thought of, that is starting to come through. So we're feeling really good about the cross-selling and the synergistic sales as we go into 2026.
Ross Sparenblek: Maybe one more in here. Brian, when we last spoke last quarter, it sounded like you had 12 months of visibility in poultry and we -- you take the share gains out of it and just think about end market demand. where is your visibility today? And what are you hearing from your customers as it pertains to pork, fish and the other protein markets as well?
Brian Deck: Right. So I would say that strength we still see continuing well into 2026. It's hard to precisely say how long that's going to last. But for sure, the market is strong. And really, what we're seeing is, I think we've talked about quite a bit is, again, and it's not just poultry, we're seeing some improvements in pork and fish, but poultry does continue to lead the market. But again, as we see the cash flow and the strength in our customers, they do have a fair amount of, I'll say, longer-term plans to get the benefits of greenfields and line expansions, et cetera. There are some -- there was many -- a couple of years of deferred investments. So we do see that coming through here in 2026. And frankly, we're already quoting into 2027.
Operator: Our next question today will come from Saree Boroditsky from Jefferies.
Saree Boroditsky: Starting off, building on the Marel margin question. One of the items you highlighted was improvement in meat and fish. I believe those product lines had lower margins at the time of acquisition. So just curious if you could provide some color on the improvement there and some of the actions, you're doing to raise the margins.
Arni Sigurdsson: Yes. So I mean, like we've talked about previously, I mean, one of the areas that we've been focusing on is one of the tools that we have is 80/20 analysis. So basically, looking at kind of what are your -- what are the top 20 products that you have that represent 80% of the volume. And you can look at that through different lenses, kind of whether it's geography, customers, products and so on. So it's really looking at and trying to understand kind of where are you kind of well positioned, where you kind of have the right resources, the right margin, so you can actually take the appropriate actions and resource the different value streams appropriately. And so what we have found out through that is really kind of figuring out what is the right resource level. And we're also looking at kind of where are the projects where we're more challenged in terms of variances or kind of differences between kind of what we expected to achieve and what we actually achieved. And then we are taking appropriate actions there as well. So we're actually really focused on improving profitability and less so on driving top line growth because we want to build the foundation there and then be ready to build on that profitable foundation to grow the business instead of continuously growing an underperforming business. And that's really kind of where the focus has been. And I think it's nice that we're kind of reaching that kind of foundation as the market is starting to kind of stabilize and gradually improve. And I would say you saw -- we saw some improvement in Q3 and we're very confident on our journey to reach mid-teens margins for those businesses in 2027.
Saree Boroditsky: I appreciate on the color on those. I think you've mentioned a couple of times 2026, you mentioned investing ahead of growth along with the support of backlog. So could you just talk through any early thoughts on the growth outlook for 2026 and your visibility into this?
Brian Deck: Right. It's a little early to be giving revenue color for -- and growth color for 2026, but I will say this, and I'll have Matt talk a little bit about the backlog. We do have fairly decent visibility given the strength of our backlog. As we just mentioned a moment ago, the markets are supportive. Certain markets are very supportive and certain markets less so. But overall, it's a healthy demand environment. So we do expect 2026 to be a growth year, and we'll provide more specifics on that.
Matthew Meister: Yes. Just to build on that. I mean, where we're at with our backlog as we exit Q3, that coupled with where we see our order pipeline and the strength and resiliency of our recurring revenue. As we exit Q4, we're expecting to have visibility above 70% to the 2026 revenue. And that, as Brian said, is inclusive of growth in 2026. So we feel very good about sort of where our pipeline and backlog sits to support a growth year in 2026.
Saree Boroditsky: And I could squeeze one more in. Obviously, you're going to be reporting in 2 different segments. Just curious how those 2 categories differ from a growth and margin perspective or just any differences in how they go-to-market?
Brian Deck: Right. So they will actually be relatively similarly sized and relatively similar margins. We'll get -- we're working through all those details as we speak. So I don't think you're going to see huge differences. I think that the general outlay is that the Protein Solutions will be more, I'll say, legacy Marel weighted, and the Prepared Food and Beverage Solutions will be a little bit more, I'll say, legacy JBT weighted. But both should be decent margins and overall growth profile. So we'll give more color on that. As Matt said in the prepared remarks, before we issue our 10-K and our Q4 earnings, we'll provide all that detail so you can get all the history and be well prepared as we go into that earnings call.
Operator: Our next question today will come from the line of Walt Liptak at Seaport Research.
Walter Liptak: I wanted to ask about selling prices and just kind of the tariffs. I wonder if you could talk first about third quarter and if you could parse out kind of the volume versus price that you got for JBT and Marel. And how are you guys doing like the fourth quarter headwind with tariffs? Is that surcharges? Or is that special tariff pricing? How does that work?
Brian Deck: Sure. So I would -- first of all, let me tell you that the revenue in Q3 was overwhelmingly on the volume side. There was some pricing benefit because as we mentioned earlier, we enacted price increases in the second quarter in anticipation of some of the flow-through from the tariffs. So there are some pricing benefit. And then obviously, year-over-year, there's some FX benefit, which we have outlined, but really was a volume play in the third quarter here. As we go into the fourth quarter, as Matt mentioned, we'll see an extra $5 million or so on the cost side in connection with the 232 -- Section 232 incremental tariffs that are out there. Things are starting to stabilize, it seems, absent any new news. But -- so we continue to price into our projects themselves, everything that we know about tariffs today. As it relates to the parts, we'll just keep an eye on it. If we see incremental issues or outsized issues as it relates to the cost side, we'll consider it. But we did do a price increase. We think we're in decent shape, and that's all reflected in the guidance for the fourth quarter.
Walter Liptak: Okay. Great. And it sounds like you're making some -- some more permanent shifts, if I heard that right, with the manufacturing footprint? Have you started those? What's the timing of that? And what's the timing of unexpected benefits?
Brian Deck: Yes, we have started. That does take -- that will take some time overall. However, where we have what I would call sister plants. So for example, on the poultry side, we have a facility in Boxmeer, Netherlands, and they have a sister plant in Gainesville, Georgia. So we have, I'll say, already a supply chain established. So it allows us to move more volume than we otherwise might absent tariffs into Gainesville. So that's happening, and that's relatively in the grand scheme of things, easier to do. Longer term, we're looking at where we can, again, utilize and further develop that supply chain for some of our other facilities. So that will take 2, 3, maybe 4 quarters as we consider that. So it's a -- obviously, it's a mix of things we can do quickly and other things that will take a few quarters.
Operator: And next, we'll hear from the line of Justin Ages at CJS Securities.
Justin Ages: Shifting topic slightly. I know it's smaller, but any update on the AGV business? How is it doing? How you guys are thinking about that business?
Brian Deck: Sure. Yes. So as you know, the AGV business is in a tremendous market in terms of all the trends as we see on factory automation, warehouse automation is their big end markets. So longer term, very, very strong. The third quarter wasn't their best quarter. That was one of the businesses that was more affected by some of the tariffs and some handful of delayed orders and revenue. However, we're expecting a strong fourth quarter here in terms of demand and into 2026.
Justin Ages: I appreciate the color. And then one more on the tariff mitigation. I know you've had some price increases out there for a bit. Are you seeing any pushback on repricing, any order cancellations or anything along those lines?
Brian Deck: Yes. We've been very balanced as it relates to really looking through the eyes of our customers where it's fair. As you know, we're -- as you could see from our remarks that we are eating some of the tariff impact. So I think we're being fair with our customers. And so -- and as you can see from the order side, our orders remain strong. So we feel we've done a nice job in that balance of, I'll say, sharing some of the pain. And then as we go into 2026, we feel really good about our position with our customers.
Operator: And that was our final question from the audience today. Mr. Deck, I will turn it back to you, sir, for any additional or closing remarks that you have.
Brian Deck: Great. Thanks, everyone, for joining us today. As always, if there's any questions, please direct them to Marlee Spangler. Have a great day.
Operator: Thank you, ladies and gentlemen, for joining today's session. You may now disconnect your lines. Have a great day.